Operator: Ladies and gentlemen, welcome to the Ceragon Networks Q4 and Full Year 2022 Earnings Call. Our presentation today will be followed by a question-and-answer session [Operator Instructions].  I'd like to hand over the call now to our first speaker today, Ms. Maya Lustig, Investor Relations. Please go ahead.
Maya Lustig: Thank you, operator, and good morning, everyone. I am joined by Doron Arazi, Ceragon's Chief Executive Officer; and Ronen Stein, Chief Financial Officer.  Before we start, I would like to note that certain statements made on this call, including projected financial information and other results and the company's future initiatives, future events, business outlook, development efforts and their potential outcome, anticipated progress and plans, results and time lines and other financial and accounting-related matters constitute forward-looking statements within the meaning of the Securities Act of 1933 as amended, and the Securities Exchange Act of 1934 as amended and the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Ceragon intends forward-looking terminology such as believes, expects, may, will, should, anticipates, plans or similar expressions to identify forward-looking statements.  Such statements reflect only current beliefs, expectations and assumptions of Ceragon management, but actual results, performance or achievements of Ceragon may differ materially as they are subject to certain risks and uncertainties, which could cause Ceragon's actual results to differ materially from those projected in such forward-looking statements. Such risks and uncertainties include, but are not limited to, those that are described in Ceragon's most recent annual report on Form 20-F and as may be supplemented from time to time in Ceragon's other filings with the SEC, including today's earlier filing of the earnings press release, all of which are expressly incorporated herein by reference.  Forward-looking statements relate to the date initially made, do not purport to be predictions of future events or results, and there can be no assurance that they will prove to be accurate. And Ceragon undertakes no obligation to update them.  Ceragon's public filings are available on the Securities and Exchange Commission's website at www.sec.gov and may also be obtained from Ceragon's website at www.ceragon.com.  Also, today's call will include certain non-GAAP numbers. For a reconciliation between GAAP and non-GAAP, please see the table attached to the press release that was issued earlier today.  I will now turn the call over to Doron. Please go ahead.
Doron Arazi: Thank you, Maya, and good morning, everyone. We had a very good 2022 in terms of the strength of our business, as reflected in our annual bookings. Our bookings to revenue ratio was well above one. We ended the year with a strong backlog. Fourth quarter bookings were softer than prior quarters, but this is similar to fourth quarter 2021, largely reflecting seasonality factors in doing business in the last quarter of the calendar year.  At the inception of 2023, we are seeing again, strong demand for our products and services. Financially, the fourth quarter of 2022, despite being at the lower end of our revenue projection was a good quarter for us in many aspects. We ended the quarter with 33.1% gross margin and $3.2 million in operating profit, which reflects a growth of 113% over the fourth quarter of 2021.  When we look at the second half of 2022, we see significant improvement in our revenue levels and profitability. This we believe is mainly thanks to a combination of two factors. First, is our relentless execution of our growth strategy, and the second is the changing market dynamics, especially in supply chain, which continues to head in a good direction.  Our fourth quarter 2022 revenues would have been even higher by a few million dollars were it not for a policy change by one of our leading customers regarding equipment received prior to year-end. The gap was also impacted to a lesser extent by a delay in a specific component that pushed certain equipment delivery out of fourth quarter 2022 into the first quarter of 2023. As of today, we are mostly caught up with these deliveries. Without these two factors, our fourth quarter revenue and profit would be stronger.  Throughout 2022, we made significant headway in the productization of our new system on a chip technology, and we are on track and expect to finish productization in 2023 and launch our new product line in 2024. We strongly believe this system on a chip will drive strong demand and have a transformative impact on the industry and on our market share and performance, mainly due to two to three years' time to market advantage we expect to have over our competitors.  Assuming supply chain dynamics continue to head in the right direction, together with strong business traction, diverse and growing use cases for Ceragon solutions and the new products in development, we expect to launch, we are excited about the growth opportunities we anticipate for 2023 and beyond. I'd now like to give you an overview per region. In North America, in the fourth quarter of 2022, 5G build continues to be strong. We received first orders for the DISH 2023 deployment. We also saw significant traction in the critical infrastructure sector in certain states with multiple RFPs. We continue to invest and intensify our sales efforts and services infrastructure in the region, and we intend to continue with this investment in 2023. Our bookings were softer than our expectations as some of the orders were not received on time in Q4 2022 and were shifted to Q1 2023.  Our revenues were also lower than our expectations due to the year-end policy change by one of our clients. I'm happy to report that we already caught up on a major part of the slippages. We expect a strong first quarter in this region.  India is a saturated market in terms of end customer demand, which means operators are increasingly turning to upselling and cross-selling to improve customer experience and drive engagement. Indian telcos continue to invest in 4G technology, while they start deploying 5G in different regions. They augment their network capacity with additional fiber and wireless E-band and multiband to meet the demand for high speed. Coupled with the growing affordability and availability of 5G smartphones, we expect these developments to fuel consumer adoption of 5G in 2023 and beyond. In Q4 2022, we continue to deliver our products for 4G networks as well as started delivering our E-band multi-band solution for 5G networks. We expect this trend to continue in 2023.  In Europe, we had a good quarter despite macroeconomic challenges seen in this region. We signed an agreement for a new turnkey project in Italy worth $4 million through which we replaced competition. We won the first project in partnership with a leading open RAN vendor composed of the full IP-50 family, including IP-50 FX. In general, our open network architecture solution continues to get traction as we are invited to more labs of Tier 1 operators, continue field trials with others and participate in RFQs.  In APAC, 5G deployment is still unfolding, though at a different pace in different parts of the region. Australia, Japan and Korea are well advanced in 5G rollout, and those are increasing the focus into the rural regions. Indonesia, Vietnam and several others are behind. We are well positioned primarily in Australia, where we are providing turnkey services as well as in South Korea and Japan. We continue to see traction and interest in our IP-50 product series, especially for wide band and open network use cases.  In Q4 2022, we received the first significant order from one of the largest operators in APAC, which includes our IP-50 FX. We also delivered the first phase of a private network in Taiwan, which is an emerging and promising use case for us.  In Latin America, the continued instability of economies and governments may delay 5G rollout, government projects and the overall expected telco business. We continue to see competition primarily driven by Chinese vendors, and we continue to focus on offering our managed services, getting very strong traction. We also continue to focus on private networks.  In Africa, business was slow in 2022, as many projects NPOs were moved to 2023. We enjoyed recurring business in managed services in Nigeria and Congo.  To summarize, while 2022 was a good year overall, it could have been better were it not for our supply chain changes, especially in the first half of the year. While these challenges are less intense today than they were a month ago, they still exist and impact our operations. Despite the said challenges we reached new milestones in 2022, achieved successes in key areas of our business, advanced the productization of our new chipset and gained traction on our managed services offering. We did all that while improving our gross margins and profitability.  When we look into the future, we expect a strong 2023. Given the positive business traction and our operational momentum, we expect to continue our growth in the leading regions we operate in. We anticipate substantial growth coming from our E-band sales, especially with the new coming cost-effective product that enables covering a broader market base. We also expect that our sell-side routing and managed services businesses to increase in 2023 and beyond.  Before I turn the call over to Ronen to review the financials, allow me to acknowledge our new Chief Revenue Officer, Alon Klomek. In this newly created position, Alon will oversee the entire revenue materialization from prospect to order delivery and collection. We believe that with this addition to our team, we'll be better able to fulfill our strategic goals.  I'd also like to welcome aboard, Dima Friedman, who is joining us as Chief Operating Officer. Dima will work on further strengthening our operations. With these changes in place, our goal is to optimize our organizational structure and implement our growth strategy with further success.  Ronen, over to you.
Ronen Stein : Thank you, Doron, and good morning, everyone. I will now share a detailed review of our fourth quarter and full year 2022 financial results.  To help you understand the results, I will be referring mainly to our non-GAAP numbers. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's press release.  Let me now review the actual numbers with you. Revenues were $75.5 million, a decrease of 3% compared to $77.8 million in Q4 2021 and 4.1% compared to $78.6 million in Q3 2022. The decrease is mainly attributed to a policy change by one of our customers regarding equipment received prior to year-end.  Our strongest regions in terms of revenues for the quarter were India and North America, with $21.6 million and $17.2 million, respectively, in line with the continuous strong demand we see in these regions. Our third strongest region in terms of revenues was Latin America with $13.2 million, followed by Europe with $10.1 million. We had two above 10% customers in the fourth quarter.  Gross profit for the fourth quarter on a non-GAAP basis was $25 million, an increase of 10.7% compared to $22.6 million in Q4 2021 and a decrease of 10.6% as compared to $28 million in Q3 2022. Our non-GAAP gross margin was 33.1% compared to 29% in Q4 2021 and 35.5% in Q3 2022. When we take the trailing 12 months view, our non-GAAP gross margin was 31.8%, an increase compared to last quarter's trailing 12 months gross margin of 30.8%.  I'd like to emphasize that the majority of our business is still project-based, and we see continued lumpiness in our revenues and gross margin from quarter-to-quarter. That said, the upward trajectory of our gross margin is very encouraging and reflects our ability to increase margins when we execute on our strategy and operational efficiencies.  As for our operating expenses, research and development expenses for the fourth quarter on a non-GAAP basis were $7.9 million, up from $7.7 million in Q4 2021 and up from $7.2 million in Q3 2022. Sales and marketing expenses for the fourth quarter, on a non-GAAP basis, were $8.6 million, down from $8.7 million in Q4 2021 and up from $8.3 million in Q3 2022. General and administrative expenses for the fourth quarter, on a non-GAAP basis, were $5.4 million, up from $4.6 million in Q4 2021 and down from $6.1 million in Q3 2022.  Operating profit for the fourth quarter was $3.2 million, up 113.3% compared to $1.5 million in Q4 2021 and down 50% compared to $6.4 million in Q3 2022. When we take the trailing 12 months view, our non-GAAP operating profit was $9.3 million, a 20.8% increase compared to last quarter's trailing 12 months operating profit of $7.7 million. Financial and other expenses for the fourth quarter on a non-GAAP basis were $2.9 million, impacted by an increase in interest rates and fluctuations in certain currencies.  Our tax expenses for the fourth quarter on a non-GAAP basis were $0.5 million. Net loss on a non-GAAP basis for the fourth quarter was $0.2 million or $0 per diluted share compared to $2 million or $0.02 per diluted share in Q4 2021 and compared to $4.1 million of net income or $0.05 earning per diluted share in the previous quarter.  As for our balance sheet, our cash position at the end of 2022 was $22.9 million, and our short-term loans stand at $37.5 million, leaving us with additional $12.5 million available unused facility. Our inventory at the end of Q4 2022 was $72 million, up from $64.2 million at the end of Q3 2022. The increase is expected to reduce risks in fulfilling the demand we are witnessing mainly for our new products, including the E-band products.  Our trade receivables are at $112.3 million, down from $115.9 million at the end of Q3 2022. Approximately 11% reflects a debt from a single customer for which we have recently initiated legal proceedings. While we believe we are taking effective measures in collecting this debt, we continue to closely monitor this situation.  Our DSO now stands at 139 days. As for our cash flow, net cash flow used for operations and investing activities in Q4 2022 was $10.6 million, mainly related to the investment in inventory and the onetime expense related to Aviat's hostile attempt recorded in Q3 2022. In 2022, revenues came in shy of the lower end of our guidance. As Doron explained, specific factors were critical, including a policy change by one of our customers regarding equipment purchase prior to the year-end and to a lesser extent, a particular delay related to one specific component, which pushed deliveries from Q4 2022 to Q1 2023.  Our 2023 revenue guidance of $325 million to $345 million remains unchanged as we see improvement in the supply chain and component shortages challenges and anticipate this trend to continue. We are more confident in our ability to navigate these challenges and expect to maintain our profitable growth trajectory.  With that, I now open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Alex Henderson from Needham. Please go ahead.
Alex Henderson: Hi, thanks. I assume I can be heard. 
Doron Arazi: Yes, Alex. Good morning.
Alex Henderson: Perfect. Let's just start off with the obvious. Can you explain what policy change occurred and how that manifests into your numbers and the component delay? Can you give us a little bit of a sense of was it just a temporary thing? Have you gotten those components in? Or are you still experiencing it?
Doron Arazi: So as we said, we already caught up with these delays that reduced our revenue for Q4 versus our original expectation. So all these revenues were already basically taken into account in Q1 after we have delivered the products. Now there were two issues. The first one is one of our big customers, we usually receive material and equipment almost until the last minute at the end of the year, at least in previous years. And this year, at a certain point, they decided to make a change and to push the expected equipment delivery into Q1.  The other point was referring to a specific component that came late by a couple of weeks. And obviously, as a result of that it created a delay in our production line. We're trying to catch up, but eventually, a few million dollars slipped into January. So generally speaking, as I said, we already caught up with these revenues.
Alex Henderson: If I were to look at the policy change, what magnitude impact did that have on the quarter? Was it $2 million to $3 million kind of number? Or what was it?
Doron Arazi: This size, more or less.
Alex Henderson: I see. So the policy change sounds like it wasn't a policy so much as it was a timing of the desired delivery. Am I wrong in that assessment? And when somebody says I just wanted the next quarter, it's maybe more of a timing of their spend and recognition of their cost as opposed to say, a policy implementation where it's a change in accounting or any other element in that sort.
Doron Arazi: Yeah, when talking about policy change, what I mean is that they have kind of more focused on certain KPIs such as the level of their inventory in their warehouses at the end of the year. And as a result of that, obviously, the organization is focused on making sure that the level of inventories at the end of the year will be the minimal possible. 
Alex Henderson: I see. 
Doron Arazi: Eventually, from our perspective, it's just a timing difference. I fully agree with you.
Alex Henderson: Okay, so has your visibility improved for 2023 over the course of the back half of the year?
Doron Arazi: I would say that generally speaking, our visibility has increased. Obviously, when looking on the second half of 2022, all-in-all and the booking we received, the visibility has increased.
Alex Henderson: And your gross margins have now moved up the most recent year around 33%. Is that a function of mix and therefore, that's kind of the new range? And also as you're starting to shift more to the U.S. and EMEA, where margins tend to be higher, is that a reasonable thought process on the new range?
Doron Arazi: Eventually, it's a combination. And I will let Ronen give you more detailed answer.
Ronen Stein: Yes, hi, Alex. It is a combination, both of the North America improvement and also the reduction in supply chain costs, PDAs and sourcing of components, cost of.
Alex Henderson: And then if I were to look at your OpEx, obviously, you've got some big moving items here. You've got increases in your compensation that has to happen every year, but you've also got the shekel swing. I had two other companies report out of Israel this morning. And they both said they were benefiting enough to offset the rise in costs and both guided to essentially flat OpEx. Can you give us some sense of what your OpEx is expected to do over the course of '23?
Ronen Stein: We do expect the OpEx to increase a bit. According to our growth trajectory and also the improvement in the gross margin, we will also increase a bit the OpEx. But of course, the ForEx impact will improve.
Alex Henderson: So two last questions, and I'll cede the floor and they're both related. Do you think at this point that you would expect to be profitable throughout the four quarters of '23? And do you expect to build or eat backlog in '23? Thanks.
Doron Arazi: So first of all, yes, our expectation is to be profitable throughout 2023. In terms of backlog, basically, we just finalized our AOP for 2023, just 1.5 months ago and the plan is, on the one hand, to leverage the strong backlog and hopefully improve our top line as supply chain issues continue to ease up. But at the same token, we are putting a strong and high target for booking. So all-in-all, we want the situation to be very positive for us at the end of 2023, where the backlog would probably, maybe stay the same or even grow a little bit, but not because of revenue conversion issues, but more because of more bookings and more business.
Alex Henderson: Great. I'll cede the floor and get back in the queue. Thanks.
Operator: Thank you. [Operator Instructions] Alex, you're back up. Please go ahead.
Alex Henderson: All right. So let's talk about the flow of orders here. Obviously, fourth quarter orders were all the way back in when you announced your third quarter would be down from the third quarter rate and you had a big, big slug of orders in the third quarter. But with that order decline, the question is the back half, I think your backlog increased, can you give us some sense of where your backlog is as a percent of four quarter product sales? It sounds like it's still running at something over 50% of the full year for 2023.
Doron Arazi: Yeah, I think 50% is a good rule of thumb for the level of backlog we are having at the beginning of 2023.
Alex Henderson: And if you were to look at your pipeline of deal flow, you've good orders over the course of '23, duration stretched a little bit. As parts become more available, do you expect any change in the time line for the expected delivery dates to have an impact on order rates? Or do you have such a strong pipeline that, that's not an issue for you?
Doron Arazi: I think that some of the behaviors we have seen during '20 and -- sorry, '21 and '22 would probably change a little bit. As you are actually may be alluding, obviously, when people are understanding that the time lines are improving, they will not be in such a rush in order to secure time lines.  Said that, we be a very nice funnel. And therefore, it's hard for me to say that there will be a specific impact as a result of this change in behavior on our bookings and our ability to convert into revenue.
Alex Henderson: So if I were to look at the expectations going into the first quarter, are we expecting orders to be a book-to-bill at or above 1? Or is this seasonally a very tough quarter to call, obviously. Maybe you could look at the first half, give us some sense of what to think the book-to-bill might look like in that time frame.
Doron Arazi: So I think, first of all, it's good that you are trying to look at it from a longer period because a single quarter can change dramatically. Just an order from India that was delayed from 25th of March to, I don't know, 10th of April could make a big change for us. And when we look back, we saw quarters where Q1 was very strong and we saw quarters where Q1 was weaker and Q2 was much more significant.  But all-in-all, based on our current expectations, we believe that we'll be able to see a book-to-bill ratio that is above 1. And my recommendation is to continue or to start getting used to a 12 month or 12 trailing month trajectory because we believe it's a better measurement for our business.
Alex Henderson: Okay. Two more questions on the income statement, which are kind of tough for us to look at externally. It does sound like you had some FX in the December quarter. So what are you thinking here in the March quarter and for the year on the interest income and other expense line? Is it going to be pretty much at the levels that it was at in 2022 or down here because FX is a little bit of less of a headwind? Can you just give any guidance on that?
Ronen Stein: So interest expense has increased. And for now, it continues to be in the same level as in Q4. On the other hand, ForEx fluctuations are very difficult to predict. We are trying to hedge and to minimize that, but it could fluctuate between quarters.
Alex Henderson: So assume no for FX, what would the number look like because we can't -- we have to assume flat exchange rates?
Ronen Stein: So assuming flat exchange rates, the financial expenses should be reduced.
Alex Henderson: But something is 7.5 to 8 range, kind of thing.
Doron Arazi: Yes, more or less.
Alex Henderson: And then the tax line, any guidance on that, did $1.2 million in '22. Any thoughts on '23 tax line?
Ronen Stein: I think that the trajectory of the tax is not so, I would say, significant as compared to what you saw in the last year.
Alex Henderson: I'm not sure I understand. So you're saying it will be similar to the $1.68 billion or below it?
Ronen Stein: No, not below. It could be a little bit higher according to the increase in the profit, but not significant.
Alex Henderson: Right, okay. So maybe 1.5 kind of thing in the tax line. As we look at 2023, how do we think about -- obviously, you said you're going to be profitable, but what about on the cash flow side? Are we going to be able to generate enough cash to get back to a positive net cash position, bring down your debt and improve the balance sheet here in '23? Or does that require us to go all the way out to '24.
Ronen Stein: No, I believe that we are working very diligently on converting our improved profitability into cash.
Alex Henderson: I'm sure that's the case. But do you think you can get to a net cash position as opposed to a net debt position over the course of 2023.
Ronen Stein: We don't give guidance on that, but we hope for that. We're working.
Alex Henderson: Great. And when I look at the U.S. operations, you've made a pretty big investment to go after the service market and even starting to go after government and enterprise markets. That's a new initiative for you. It sounds like that's running a little bit ahead of target. Obviously, there was some costs associated with setting that invested ahead of revenues. Can you give us an update on where that's going?
Doron Arazi: So generally speaking, yes, we decided to invest in this part of the segment of the market in the U.S. I think we made very good progress there. As we speak, obviously, we are looking into ways to even accelerate this part of the business that we believe is very important for us, and we think that we have a very good offering.  Obviously, for a company that was not in this business in the past, at least not directly because we sold via channels, and we've now kind of made a change in our strategy, and we are taking also more and more direct deals where we need to provide with the whole solution, it takes time to ramp up. But we're quite encouraged from the progress we made in 2022 -- and actually, our targets for next year are basically to even double the achievements of 2022. Obviously, I cannot comment to that level of specifics and provide with the numbers.
Alex Henderson: I actually got a couple of questions from investors that they wanted me to pass along, almost like it's a fireside chat here. 
Doron Arazi: Okay, go ahead.
Alex Henderson: First question was what would GMs have been in Q4 if that one customer had accepted delivery?
Doron Arazi: This is a hypothetical question, and I will answer it, obviously, hypothetically. I believe in this case, we would probably get closer to 34%.
Alex Henderson: And then targets for inventory turn cash flow benefits, same for AR targets without litigation and possible details on litigation.
Doron Arazi: So I will start with possible details about litigation. Actually, I cannot provide any details. The process is under strict confidentiality. The only thing I can add is that we believe that this process together with some other measures could be very effective. But obviously, we are monitoring closely. And at this point, we cannot assure our success. 
Alex Henderson: Targets, and inventory turns and cash flow.
Doron Arazi: [Multiple speakers] do you want to answer that?
Ronen Stein: Yes. So regarding inventory, of course, it is derisking our ability to fulfill the backlog. But we are working on that from quarter-to-quarter to ensure first that we have as less risk as possible. But on the other hand, to convert it as soon as possible into cash.
Doron Arazi: I would just add one comment on the inventory. Guys, for us, it's very clear that this level of inventory is on the high side. However, when we see opportunities for very significant business and especially in cases where some of the components are still, I would say, a challenge to attain, we take these business decisions -- obviously, we are looking in all aspects, cash flow, God forbid, obsolete inventory in the future and so on and so forth. But these are decisions that can be made actually within the quarter, without even anticipating that this will happen at the beginning of the quarter.  All-in-all, it's our intention to start gradually, take the level of inventories down, and obviously, subject to the supply chain market, assuming it continues to get better and better. He wants also an answer about the AR.
Ronen Stein: So again, the AR, we have targets to reduce the DSO, and we will continue to push for that. For example, in Q4, our collection was higher than the revenues.
Alex Henderson: Right. I'll cede the floor. Thanks.
Operator: Thank you. Our next question today comes from the line of Brian Kinstlinger from Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Okay, great. Thank you. Sorry if I'm repeating the question, I missed part of the call. But can you talk about the short term and medium term targets for gross margin with inflation easing, and as the supply chain does begin to improve for you? What are the puts and takes that can drive improvement from, say that hypothetical in 4Q?
Doron Arazi: So first of all, hi, Brian and obviously thank you for joining the call. So the trajectory, as Ronen said, is a positive trajectory. Still within quarters, there could be some fluctuations because of revenue mix between regions. But the general trajectory is to continue and see the percentages going up. So if we ended up on, was it 31.8% for 2022. I think as a target, we want to increase 2023, by at least 1%. Do we have a chance to do better? Yes, but this is a target taking into account all aspects and factors that are impacting our gross margins.
Brian Kinstlinger: In a period where inflation maybe is modest, obviously, not today, in a period where the supply chain is not a challenge at all to you, is the long-term goal to be above 35%?
Doron Arazi: Yes. We said that already. We put some sort of a range last time that we discussed that because the situation was much more turbulent than it is now. And obviously, the more we see the market stabilize, the more we feel comfortable to aim towards the higher end of the range. Originally, we're indicating 34% to 36%. So already kind of indicator of 35%, there could be very probable scenarios where we, in the long run, go beyond 35%.
Brian Kinstlinger: Okay. My other question is if you could discuss at a high level the M&A pipeline? Is this going to be an area of focus for the company? And if so, what is it you hope to accomplish? Is it more international expansion? Is it complementary technologies, increased scale? Thank you.
Doron Arazi: Yeah. So obviously, this is something that I cannot discuss very freely. All I can say is that our strategy is basically to increase our portion, especially in the segments of private networks and small operators. We see huge opportunities there. And in order to take a bigger market share, we will look for either a faster attainment of customers' M&A or for some augmenting technologies, products that can help us provide end-to-end network solutions to these players. So these are basically the main focus areas when we are looking into potential M&As.
Brian Kinstlinger: Great, thank you.
Operator: Thank you. Our next question today comes from the line of Scott Searle from ROTH Capital. Please go ahead. 
Doron Arazi: Hi, Scott.
Scott Searle: Hey, good morning. Good afternoon, Doron and Ronen. Thanks for taking the questions. I just wanted to get some clarification on the sequential outlook. It sounds like there was $2 million to $3 million that slipped out due to customer delivery schedules. And it sounds like another $2 million to $3 million in terms of component availability. So is that correct? We had about $5 million or so slip out.  So as we're looking into March, what are you guys thinking about in terms of the sequential progression. Typically, there's seasonality where it's down. Do we not see that now because of what sounds like you've already recognized in the March quarter?? And then for all of 2023, the guidance of 10% to 17% growth is very healthy. I wonder if you could give us some color in terms of the geographies, specifically where you're kind of seeing a lot of that strength.
Doron Arazi: Yeah, so first of all, you are right on spot. We expect that Q1 will be stronger than the usual. So the seasonality that we usually have will be by far lower, if not even kind of evened out due to the slippage of this level of revenues that you just mentioned. So generally speaking, we believe and we plan for a strong Q1 in terms of revenue. As to the other question, can you remind me?
Scott Searle: Sorry, look at the growth expectations for this year in that range. Where are you really expecting the geographic strength from end market, sounds like private networks are growing for you as well?
Doron Arazi: So first of all, we plan to continue the increase in our business in North America, for two reasons. First of all, the Tier 1 operators, at least as we see it now, continue to roll out the 5G. And we expect to have a strong year in this respect as well, at least as of now. And obviously are starting to kind of enjoy the fruits of our investment in the private networks and the smaller ISPs.  The second region or maybe even the first one is India. We see a lot of traction for both E-band and the traditional microwave. So we believe that India will also be strong and even slightly stronger. Now in terms of other regions, let's not forget that, first of all, Africa was very, very soft this year, and we expect a certain level of rebound there that can help us obviously to grow. And also, APAC as well as Europe are showing some initial signs that could give us some level of hope that they will look better than 2022. But the leading regions are North America and India.
Scott Searle: Very helpful. And lastly, if I could, on the ASIC time line, thank you very much for the color on that front, right? It sounds like you'll be taping out this year with design win certifications kind of as you're going into '24. So I guess the question is two. It's when do you start to see meaningful revenue coming from those platforms? And is it second half of '24 is earlier in '24. And I think that has a favorable impact on the gross margins as well. So when you're talking about 35% as your long-term target, what are you kind of assuming from an ASIC adoption and penetration standpoint? Thanks.
Doron Arazi: So as we all know, introducing new products even if they are available takes time. We hope to start selling but not at large volumes towards the end of 2024. I hope that we'll get surprises and the volumes would be by far higher. But definitely, the bigger impact could be in 2025.  Now in terms of cost structure, bond [ph] cost and so on and so forth, I must tell you that with the new series of the 50 EX and 50 CX, we are already coming with a big portion of the savings on the bond cost. So in this respect, I expect the upcoming new products in 2023 to contribute to the improvement in the gross margins already. So we don't need to wait that long for the new chip in order to get better gross margins. The new chip would add some additional level of cost reduction. But I think the message would be about performance, the message would be about a very, very, very strong radio capabilities, which obviously is our bread and butter.
Scott Searle: Great, thanks so much.
Operator: Thank you. We have no further questions. Please proceed.
Doron Arazi: I'd like to underline the excellent execution of our growth strategy, which has led us to achieve strong traction across different regions with different solutions. The improvement in our annual gross margin and operating profit are testaments to the effectiveness of this strategy. We expect an even better 2023, barring unforeseen developments.  Lastly, we will be at the Mobile World Congress in Barcelona on February 27th through March 2nd. We will be showcasing our solutions at our booth, such as AI network insights, open transport, longest haul [ph] and flexible network services. Come and visit us at Hall 5, Booth Number G61.  I look forward to updating you further on our next call. Have a good day, everyone.